Presentation:
Operator: Good morning and good afternoon, ladies and gentlemen and welcome to the McEwen Mining 2015 Q4 Year-End Financial Results Conference Call. I would now like to turn the meeting over to Mr. Rob McEwen, Chief Owner. Please go ahead, Mr. McEwen.
Robert McEwen: Thank you operator. Good morning, fellow shareowners, ladies and gentlemen. Thank you for joining us today. With me on the call are Colin Sutherland, our President and Andrew Elinesky, our Senior Vice President and CFO. We’re going to cover off the highlights for 2015 and then go into what we’re forecasting for this year after which we’ll open the line for Q&A. I’d like to start off by saying that 2015 was a very good year for us from an operational standpoint and near the end of the year our share price started improving and it’s continued on into this year. And I would like at this point to turn the call over to Andrew to talk about the highlights of 2015.
Andrew Elinesky: Thank you Rob. Good morning everyone. Overall we had another excellent quarter which turned our fiscal year which was primarily driven by the continued strong production in Mexico at both at low cash and all-in sustaining costs, which allowed us to maintain a solid working capital and treasury balances. Our consolidated gold equivalent production for the year was up 22% to a record 154,000 ounces compared to just under 127,000 ounces for 2014. As a result our earnings from mine operations increased significantly to $53 million compared to $25.5 million for 2014. The strong performance despite a weaker metal environment during the year is reflected in our improved treasury as we ended the year with cash, cash equivalents, and gold of $32 million compared to $36 million at the end of the third quarter, but compared to $18 million at the beginning of 2015. From a cost perspective our performance has continued to be strong. We reported a consolidated gold equivalent cash cost of just under $685 an ounce which is $200 less than the prior year. And all-in sustaining cost of $962 an ounce which is $340 less than the prior year. This was driven by the exceptional performance of our El Gallo 1 mine where we produced over 63,000 ounces of gold at cash cost of $440 an ounce and all-in sustaining cost of $580 an ounce. In 2014 the mine production at El Gallo 1 was 38,000 ounces at cash cost of $876 and all-in cost of $1,196. That was the fourth quarter of the consecutive quarter of strong production and significantly low cost as a result of the operating improvements, the increased grade profile combined with some cost input savings as well as a weaker Mexican Peso compared to the U.S. dollar. In Argentina at the San Jose mine despite difficult operator conditions, our partners have been able to reduce the cash cost to $865 per ounce when compared to 2014. They were able to decrease the all-in sustaining cost by just over $100 to $1,111 per ounce versus 2014. Moving to our financial statement we reported a net loss of $20.5 million or $0.07 per share. The loss for 2015 was primarily driven by $48.4 million in non cash asset impairment charges which were net of tax. These more than offset the strong operating results for the year. These impairment charges related to reduction in carrying values of our investment in MSC in the San Jose mine as well as our Los Azules project and exploration properties in both Mexico and Nevada. Our adjusted net loss for the year which removes the affects of these impairments as well as the affects of foreign currency was 8.6 million or $0.03 per share compared to an adjusted net loss of $33 million or $0.11 per share in 2014. As per our announcement on October 1, 2015 the company initiated a stock repurchase program and during 2015 we repurchased just under 1.9 million shares of our common stock at a total cost of $1.8 million for an average purchase price of $0.94 per share. On August 17th, the company also paid its first semi annual return of capital installment and we’ve since made our second installment on February 12, 2016. We would like to remind shareholders that the distribution would generally be considered a return of capital, unless you are a 5% shareholder you should not be subject to withholding tax. Please note that owners of the exchangeable shares of our publicly traded Canadian subsidiary, McEwen Mining Minera Andes Acquisition Corp received an eligible dividend of $0.005 per share with those payment dates. We encourage you to consult to your tax professional on this matter. With regards to our VAT balance, our VAT balance was significantly reduced currently to about $3 million due to much improved collections in the first quarter of 2016. This allowed us to retire the credit facility which we had obtained in 2015 and the company is now debt free. Regarding our outlook for 2016, we initially forecasted production guidance of 141,000 gold-equivalent ounces at cash costs and all-in sustaining costs ranging from $760 to $800 and $915 to $955 per ounce respectively. However in reviewing our production plans from Mexico we are revising our guidance upwards to 55,000 gold-equivalent ounces, which should result in slightly reduced per ounce cost, ranging between $15 to $20 per ounce. Similar to 2015, we should continue to see our operations add to our working capital and treasury positions in the year. In addition to the operational cash flows coming from Mexico, we are also anticipating on receiving dividends from the San Jose mine in Argentina and it is our objective to increase our cash, cash equivalents, and gold to over $45 million by the end of 2016. This assumes that gold and silver prices stay at their current values. This also takes into account the internal exploration costs of approximately $7 million and the recent purchase of the Afgan-Kobeh property in Nevada, but does not take into account any further acquisitions for which we continue to look for. I will now turn the presentation back over to Rob.
Robert McEwen: Thank you, Andrew. So from an operational standpoint we did well in 2015. Our share price was improving through the end of the year and besides working on building and improving our operation, we had to deal with the threat of delisting from the New York Stock Exchange and that was the big focus of our efforts during the year. We felt that if we could improve our operation that would enhance our position in the market. As Andrew mentioned we initiated a capital distribution program starting in August of last year and paid again this February and coming up in August this year. Share repurchase program; I myself bought about a million shares in the market as well. Our new President, Colin Sutherland purchased 460,000 shares just before joining us. So we're invested in the future of the company. So looking into 2016, there are a couple of areas where we're focusing; first is exploration and property acquisitions around our existing mines with the objective of extending the life of these operations. The second is looking at -– we're quite excited about the prospect of building Gold Bar and we expect to have a permit in hand by the end of January next year 2017. Thereafter it will take about 12 months to build that operation and expecting to be up and running in 2018. And on an annualized basis we’d be doing about 200,000 ounces of gold. So that’s part of the excitement. The next is as we watched the silver price edge up we do have a fully permitted project in Mexico, which we call El Gallo Silver. It is located a short distance away from our El Gallo gold mine. So it shares some of the infrastructure and also common knowledge and cost working in that area. As I said, it is fully permitted, ready to build. We have a mill in storage at the moment, a ball mill in storage. And at around $18 silver, this deposit could become a mine. And so we're working on seeing if we’ve been able to improve the economics of this project and hope to have some results out for your review by the end of the first half of this year. The other area that I find quite intriguing is our Los Azules copper project. It’s a very sizable deposit in all resource categories. It is about 20 billion pounds of copper. The grade of the deposit is good. It is half a percent copper and the exploration potential on it seems good as well. The copper price has been improving. It’s up to about $2.25. We had a preliminary economic assessment on that property several years back, it had contemplated a $3 copper price but it envisioned a large CAPEX, and where we've been hammering away at the CAPEX seeing if we can improve that. And we have a couple of good leads on that and again we’ll be sharing our progress in the second half of this year. There have been a couple of people looking at it but nothing serious at the moment. But it is a large asset based with our PEA and envisions 35 years of production and a better than 400 million pounds of copper a year. But very large CAPEX at this point. Our hope was to monetize this and cover off our development capital requirement. As Andrew said, we’re in a good position cash wise. We’re building our cash since year-end and it will continue through the year. While we are looking at above 45 million at the end of the year on our current rate, there maybe some acquisitions along the way whether they would be property or adjacent properties or looking in opportunities to build our production of gold and silver and our resource base through M&A activity. At this point I’d like to again thank you for joining us and open the session for questions. Thank you, operator.
Operator: [Operator Instructions]. Your first question comes from the line of Heiko Ihle of H.C.W. Your line is open.
Heiko Ihle:
Robert McEwen:
Heiko Ihle:
Robert McEwen:
Heiko Ihle:
Robert McEwen:
Heiko Ihle:
Robert McEwen:
Operator: [Operator Instructions]. We’ll now turn it to our web questions. Our first question comes from the line of Jack Forbes [ph].
Unidentified Analyst:
Robert McEwen:
Operator: Thank you. And your next question is a statement from Supena Surrell [ph]. This is a great company, great management, great projects and thank you.
Robert McEwen:
Unidentified Analyst:
Andrew Elinesky:
Robert McEwen:
Operator: The next question comes from Michael Riley [ph]. At 55,000 shares I'm assuming that when silver goes up $1 that drops right to the bottom line, is that correct?
Andrew Elinesky:
Operator: Okay. Our next question comes from the line of Stuart Bailey [ph].
Unidentified Analyst:
Andrew Elinesky:
Robert McEwen:
Andrew Elinesky:
Robert McEwen:
Operator: We do have a couple of audio questions coming through. Do you want me to transition to those?
Robert McEwen:
Operator: Okay we have Seal [ph] Wang of Lotus Prime Capital Partners [ph]. Your line is open. Good morning or good day. Two questions, one I believe you made the comment that you are now debt free and then you later talked about potentially financing, looking for external financing for Gold Bar. I am wondering if you have a sort of a target capital structure you might be looking for in terms of debt to total cap or what might be a high end range and so where you think the debt level might go that you would view to be "untolerable"? Totally separate, regarding your dividend, I am wondering if there is any thought or any comment you might have about issuing a dividend, like payable in gold or in the precious metals or at least for budding shareholders that option? Thank you.
Andrew Elinesky:
Unidentified Analyst:
Robert McEwen:
Operator: And your next audio question comes from the line of Robert Schwering [ph] of RASOG [ph]. Your line is open. Hi Rob, this is Bob Schwering [ph], how are you?
Robert McEwen:
Unidentified Analyst:
Robert McEwen:
Unidentified Analyst:
Robert McEwen:
Unidentified Analyst:
Robert McEwen:
Operator: And your next question comes from the line of Marc Leitner [ph], a shareholder in McEwen Mining. Your line is open.
Unidentified Analyst:
Robert McEwen:
Unidentified Analyst:
Andrew Elinesky:
Unidentified Analyst:
Robert McEwen:
Operator: And your next question comes from the line of Bob Polis [ph]. When you might reopen your “stores” will we might be able to buy gold coins or bars from or through you, and how much over spot do you charge including delivery?
Robert McEwen:
Operator: Okay. And your next question comes from or comment actually comes from Mike May [ph]. There is no question, I appreciate your work of the MUX team this past year and thank you.
Robert McEwen:
Operator: Okay. And we have Joshua Fritz [ph].
Unidentified Analyst:
Robert McEwen:
Operator: There are no more questions at the time. [Operator Instructions]. I have no further questions either on the web or the audio so I turn the call back over to the presenters for the closing remarks.
Robert McEwen: Thank you very much operator. Thank you everyone for joining us on the call. We are looking forward to better gold and silver markets and even copper prices. We had a good foundation here last year and we are going to build on that and looking forward to giving you more positive announcements as we go forward. Successful investing.
Operator: And this concludes today's conference call. You may now disconnect.